Operator: Good evening, and welcome to the Entravision Communications Second Quarter 2013 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Walter Ulloa, Chairman and Chief Executive Officer of Entravision Communications. Please go ahead.
Walter F. Ulloa: Thank you, Youssef. Before we begin, I must inform you that this conference call will contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to our SEC filings for a list of risks and uncertainties that could impact the actual results. This call is a property of Entravision Communications Corporation. Any redistribution, retransmission or rebroadcast of this call in any form without the express or written consent of Entravision Communications Corporation is strictly prohibited. Also, this call will include certain non-GAAP financial measures. The company has provided a reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures in today's press release. The press release is available on the company's website and was filed with the SEC in a Form 8-K. We generated strong financial results during the second quarter, led by our solid core advertising growth across our TV and radio assets, as well as sharply focus -- sharper focus on prudently managing our costs. We continue to execute against the growing demand among advertisers to reach the nation's rapidly-expanding Latino population. We are successfully driving digital and mobile audience growth, and our core television and radio assets remain strongly positioned within the nation's most densely-populated Latino markets. Our 360º integrated marketing programs are attracting interest from advertisers seeking to connect their brands with the increasingly important Latino consumers across all major media platforms. Consolidated second quarter revenue was $57 million, up 5% over the same period last year, which included $2.2 million of political revenue in last year's second quarter. Revenue growth was driven primarily by solid local advertising performance at our core television and radio properties. In addition to generating the healthy top line growth, we also continued to execute our concerted plan to effectively manage our costs. Our success here is demonstrated by consolidated EBITDA growth of 10% and free cash flow growth of 41% during the second quarter. We also recently take -- we also recently have taken additional steps to strengthen our capital structure. We entered into a new secured credit facility that includes more favorable borrowing terms as well as a $375 million delayed draw loan. We plan to use the proceeds from that delayed draw loan to redeem the remaining outstanding 8.75% senior notes. As a result, we will simplify our balance sheet, significantly reduce our interest expense and increase our financial flexibility, as we continue executing our growth strategy. Chris will provide more details on our refinancing activities in a few minutes. Now moving onto our operating highlights for the second quarter. Our television revenues increased 6% during the second quarter. Excluding retransmission fees, television revenues increased 5% compared to the second quarter of last year. Local television revenues increased 12% in the quarter, while national TV revenues declined 2%. The decrease in national revenues was driven primarily by the impact of higher political television advertising sales of about $1.8 million in the second quarter of 2012. Excluding retransmission and the impact of political advertising sales, core TV revenues increased 11% compared to the second quarter of last year. Core local television revenue grew 14%, while core national revenue increased 8% in the quarter. This performance continues to outpace the broader television industry. Our core 11% TV revenue growth during the second quarter marks the seventh straight quarter we exceeded the industry's growth projections. The Television Advertising Bureau estimates that the core TV industry grew 1% during the second quarter. Contributing to our core growth success was our ability to maximize our sports inventory. We exceeded expectations with Confederaciones Cup sales, a 2-week soccer tournament hosted by Brazil, which featured some of the world's most popular national teams, including Spain, Italy, Brazil and, of course, Mexico. The tournament aired from June 15 to June 30 and concluded with the final match between Spain and Brazil. We're also pleased with our sales results from the recently completed CONCACAF Copa de Oro tournament, which aired from July 7 to July 28. The demand for these 2 high-profile soccer events have our sales teams eager to initiate our sales strategy for next summer's 2014 World Cup in Brazil. We also continued to see broad-based strength in the automotive category, which finished up 29%, marking the 13th consecutive quarter of double-digit automotive spending growth for our television business. In the second quarter, we experienced growth from all 10 of our top 10 auto brands, including new business from Jaguar. This success led to a second quarter -- to our second quarter being our highest revenue quarter of auto business since 2008. The growth was a result of strong performance for both Tier 2, plus 26%, and Tier 3, plus 43%. We continue to be optimistic about the auto category in the second half of 2013, as the industry continues to rebound and Latino surname buyers are leading the recovery in our markets. Moving now to our other television advertising categories. During the second quarter, we experienced solid growth in 7 of our 10 -- of our top 10 categories. The best-performing categories during the second quarter included media, retail and services. The media category up 77% was driven by increased investment from cost communications into 2 of our -- of their primary markets: Las Vegas and San Diego. The retail category was up 23%, expanded primarily due to budget increases from Walmart, Conn's Appliances and Anna's Linens. And the grocery convenience store category up 22% increased as a result of significant increases on ATV in Texas and new entries: Smith Supermarkets in New Mexico, Nevada; and PriceRite Supermarkets in the Northeast. This category trend has continued in the current quarter, as 8 of our top 10 categories in our television business are, up to July, led by continued momentum from Automotive, Grocery/Convenience Stores, Media and Travel and Leisure. We are encouraged by the broad-based nature of our category growth and our continued success in attracting new advertisers. During the second quarter, we added 54 new television advertisers, who invested $10,000 or more. New clients for our television division in the second quarter included Smith's Grocery, Payless Shoe Stores, Texas State Teachers Association, Aio Wireless and Connect for Health Colorado. Turning to our ratings performance. Our Univision television affiliates extended their ratings leadership positions in the May 2013 sweeps. Among all adults 18 to 34 regardless of language, 7 of our Univision television stations have ranked #1 or #2, sign on to sign off. Additionally, 6 of the Entravision Univision television affiliates are either #1 or 2 among adults -- among all adults 18 to 49. 5 of our UniMás television affiliates are #2 -- the #2-ranked Spanish-language television stations in their markets in adults 18 to 34, 8 are ranked #2 among adults 18 to 49. During our primetime novella block, Entravision television stations ranked either #1 or #2 in 7 markets, adults 18 to 34, regardless of language. In early network newscast, 10 of the Entravision television stations ranked #1 or #2 regardless of language 18 to 34, and 13 ranked #1 or #2, 18 to 49. 13 of our Entravision Univision affiliates are #1 or #2 in early local news, and 10 are #1 or 2 in late local news regardless of language, adults 18 to 34. Moving over to our radio division. Revenues increased 2% in the second quarter. This compares to estimated flat industry growth according to Miller, Kaplan. Local revenue, which represents a 68% of our total revenue increased 3% during the quarter. While national revenue, which represents 32%, declined 2% due to reduced political advertising of about $400 -- $400,000 compared to the prior-year quarter. On a core basis, excluding political advertising, local revenue increased 4% and national revenue increased 2% over the second quarter of last year. Total revenue for radio, excluding political, grew 3.5% in the second quarter. A key driver of the performance of our radio division is the steady progress we are making, generating increasing returns from Entravision Solutions Network. Since its launch in 2011, the Entravision Solutions Network has been 1 of the highest-ranking Spanish-language radio networks in terms of coverage and ratings. In fact, the Entravision Solutions Network has been the #1-ranked network for 3 consecutive quarters with its over 300 radio affiliates throughout the nation. Network revenues increased 5% during the second quarter and are up 20% to the first 6 months of the year. This revenue growth is attributable to the strong interest we are securing from major advertisers as they seek effective ways to target Latinos across our Mexican regional radio network platform. Top advertisers on the Entravision Solutions Network during the quarter included State Farm Insurance. It was a first-time advertiser for us in the quarter; and Walmart, who increased their spending by 143%. Mars was another first-time advertiser. It's important to note that radio revenue growth continues to be balanced across our key advertising categories, as we generated growth in 6 of our top 10 categories during the second quarter. Our best-performing categories during the quarter were Professional Services and Automotive. Services increased 14% in the quarter with increased spending by State Farm Insurance and Los Defensores. The auto category, which was our second largest category in the quarter, ended with a revenue increase of 13%. In addition to the outperformance in services and automotive, in order of spending, our remaining 3 of the top 5 ad categories during the first quarter were Travel and Leisure, Retail and Fast Food Restaurants. Travel and Leisure, our third largest category, decreased 5%. But despite the decrease, we saw increased spendings by Universal Studios, Disney and the California Lottery. Retail saw a 9% increase propelled by Walmart; Sears, which increased its spending 99%; and Lowe's. Fast food restaurants increased 9% in the quarter with increased spending by McDonald's and Taco Bell. And we saw the largest increase from Burger King, which increased its spending with Entravision Radio by 592% over the same period last year. We added 32 new radio advertisers, who spent more than $10,000 during the second quarter, resulting in approximately $565,000 in revenue. New advertisers included the U.S. Postal Service, Werner Ladders, Mercedes-Benz and General Motors. Our L.A. cluster once again outperformed by 10% the total spot market, local and national sales combined, as a result of strong increases in national advertising revenue and KLYY local spot. Digital revenue for Entravision in Los Angeles increased 126% year-over-year through growth in our core digital products and event integration. We outpaced the total Los Angeles radio market's digital revenue by 97 points. Total Los Angeles market digital revenue increased 29%. Entravision's Los Angeles local digital billing increased 127%, while national digital revenue increased 114% year-over-year. This growth was partially due to the rollout of ENTRALEADS, our lead generation solution for our retail-based clients. We continue to focus on selling 360º Integrated Marketing Solutions to new and existing clients. Our radio stations continue to generate leading -- leading the ratings across key demographic categories and time slots. For the spring 2013 radio ratings, our radio stations continued to be ranked among the leaders in adults 18 to 34 against all competitors, regardless of language. Among the 11 Entravision markets released by Arbitron in the spring survey, 13 of our radio stations are in the top 10 in their markets in full week, Monday to Sunday, 6 a.m. to 12 midnight. Let me now turn to our digital business. We continue to leverage our strong brands and revenue teams to deliver attractive Integrated Marketing Solutions. Now our clients can connect with our audiences across all key media and digital channels and offer new attractive multi-platform advertising opportunities. We continue to make significant progress with digital, which continues to grow fast and currently accounts for 5% of our local revenue. Our interactive revenues have grown year-over-year for 20 straight quarters, including a strong growth of 54% during the second quarter over the same period last year, and a remarkable 45% over the first quarter. Second quarter was a new all-time revenue high for our digital ventures. During the second quarter, we published more than 9,000 local new stories online across our markets. Video consumption increased 12%. Our increased digital video content is driving strong digital audience growth. Our radio live streaming operations showed solid performance. During the second quarter, we streamed 4.6 million hours, a growth of 23% over the same period last year. We now have, every month, an average of 700,000 unique radio streamers with an average session length of 1 hour. We're also entering into a streaming and monetization platform partnership with Abacast. This partnership provides us with superior-quality, cost-efficient streaming. This partnership also provides an exclusive streaming platform that our unit, Entravision Solutions, will now offer to our over-300 affiliated radio stations that's formed the Entravision Solutions Network. Our mobile operations continue to grow at a fast pace as well. Second quarter was a new record mobile revenue -- mobile revenues increased 75% over the same period last year, as usage trends remained at record levels. During the first quarter, we sent -- during the second quarter, we sent over 4 million text messages to our mobile audience on behalf of advertisers like Toyota, Ford, AT&T, Coors, Comcast, McDonald's, State Farm Insurance and many others. Mobile traffic to our websites for second quarter increased 178% over the same quarter last year and 74% over the first quarter. We're also driving increased engagement across social media, as our radio and television websites continue growing their Facebook and Twitter audiences. We finished the first quarter with 500,000 followers on our social media channels, which is up 73% over the second quarter of last year. We're also deploying a new enterprise social marketing platform that allows us to integrate our social media campaigns into our traditional advertising offerings. We continue to grow our big data unit. Less than a year ago, we launched Luminar as the first big data analytics and modeling provider to focus on the Latino market. Luminar's big data platform and analytics provide actionable Latino consumer growth strategies for Fortune 1,000 companies. Luminar continues to make significant progress with marketers and national advertising agencies. Luminar has been contracted to perform demand analysis for Fortune 500 companies including Nestlé, Publishers Clearing House, General Mills and the California Milk Advisory Board. In addition, we are implementing a big data framework at Entravision, which will lead us to better cost efficiencies and revenue growth by dynamically managing our yield management practices. We are transforming Entravision. We used to be a broadcasting group. And now, we see ourselves as an integrated media and information company serving the Latino market. Turning to our pacings. While we do not provide specific guidance, we continue to see positive trends in our television, radio and digital businesses in July. Our total revenue through July, with political and without transmission fees, is plus 5%. Core company revenue, excluding political and retransmission fees, is pacing plus 10% to July with television core at plus 12% and radio core at plus 5%. It is important to note that we aired the Copa de Oro soccer tournaments, which were not in last year's July numbers. We believe the revenue generated in this prestigious soccer tournament is about 30% incremental. Factoring the increased revenue as a result of airing the Copa de Oro games in July, our core television business was about plus 8% for the month, applying the same analysis to our radio business as a result of airing the Copa de Oro games in 8 markets. Core radio was about plus 4% in July. In summary, we generated a healthy core advertising performance across our television and radio properties during the second quarter. The strong market position of our core assets are expanding to a digital audience, and our unique integrated advertising opportunities are attracting a growing number of advertisers, seeking to engage with the Latino community. Current pacings through July demonstrated the continuation of our core advertising performance, and we remain focused on executing our strategy across our core and digital businesses to continue to drive growth in the second half of the year and beyond. I will now turn the call over to Chris Young for a review of our financial information.
Christopher T. Young: Thank you, Walter. Good afternoon, everybody. As Walter has discussed, net revenue for the quarter was $57 million, up 5%. Operating expenses increased 3% to $33.4 million and consolidated adjusted EBITDA increased 10% to $20 million. Net revenue for the quarter was up 5% to $57 million compared to $54.5 million in the same quarter of last year. TV net revenue was up 6% to $39.6 million for the quarter compared to $37.4 million in the same quarter of last year. Radio net revenue was up 2% to $17.4 million for the quarter compared to $17.1 million in the same quarter of last year. The increase in our TV segment was primarily attributable to an increase in local and national advertising revenue. The increase in our radio segment was primarily attributable to an increase in local advertising revenue. The increase in revenue from the TV and radio segment was partially offset by a decrease in political advertising revenue, which was not material in 2013. Excluding retransmission consent revenue and political advertising revenue, core TV advertising revenue was up 11% for the quarter versus TV industry core spot revenue based on TVB, plus 1%. As Walter mentioned, this is the seventh consecutive quarter, where our core TV revenue has significantly outperformed that of the TV industry. Core radio advertising revenue was up 3.5% for the quarter. Retransmission consent revenue for the quarter was $5.7 million compared to $5.2 million in the same quarter of last year. Operating expenses for the quarter were $33.4 million, up 3%. Excluding non-cash compensation expense of $0.3 million, operating expenses for the quarter were $33.1 million, up 3%. The increase was primarily attributable to an increase in expenses associated with the increase in net revenue and an increase in salary expense, partially offset by a decrease in bad debt expense. Corporate expenses for the quarter were up 13% to $4.7 million compared to $4.2 million in the same quarter of last year. Excluding non-cash compensation expense of $1 million, corporate expenses for the quarter were $3.7 million, down 1%. Free cash flow as defined in our earnings release increased 41% to $10.2 million or $0.12 per share for the quarter compared to $7.2 million or $0.08 per share for the same quarter of last year. Cash interest expense for the quarter was $7.3 million. Cash, CapEx -- capital expenditures for the quarter was $2.1 million. CapEx for the year will be between approximately $9 million to $9.5 million. Turning to our balance sheet. As of June 30, 2013, our total debt was $343.7 million and our trailing 12-month consolidated adjusted EBITDA was $80.4 million. Cash on the books was $41.1 million at June 30, 2013. Net of $20 million of unrestricted cash on the books, our total leverage, as defined in our new 2013 credit agreement, was 4x at June 30. Our senior note refinancing is in process and will be completed tomorrow, August 2, 2013. Pro forma of this refinancing, our total debt will be $375 million and our new interest rate will be LIBOR plus 2.5% with a 1% floor. This concludes our formal remarks. Walter and I would be happy to take your questions at this time. Youssef, I'll turn it over to you.
Operator: [Operator Instructions] Our first question comes from James Dix with Wedbush Securities.
James G. Dix - Wedbush Securities Inc., Research Division: Just a couple of questions. I guess, first, any color you can provide on, kind of, the acceleration you've seen, particularly in TV, in terms of the core ad business. You gave some pretty good category color, but I was just curious as to whether there's anything you're seeing kind of continuing in the July growth that you started seeing in the June quarter? And then, I guess, there's been much written about the potential for more outreach for Affordable Care Act advertising. I don't know whether you're starting to see any of that yet or whether you expect to see anything in the third quarter. But any color you can give on, kind of, the outlook for that and how we should be thinking about it would be great.
Walter F. Ulloa: Thanks, James. It's Walter. The category that certainly led to the company core advertising category in the second quarter and in fact, for many quarters now is automotive. It continues to improve and build quarter-after-quarter. In our television group, we saw Automotive up 29%. In radio, it was up 13%. We continue to believe that the second half will be strong as well. And so, certainly that's the #1 category, leading all advertising sectors combined. As for the Affordable Care Act, we've been looking at this opportunity now for many months. We started reviewing this opportunity in the fourth quarter of 2012. So we've done a lot of work on it. Our sales teams have spent a lot of time seeing what the possibilities are, developing relationships with the federal government as well as state market exchanges, as well as the private sector. We think that -- we believe this is a $3 million to $5 million opportunity for us. Probably, most of that will be in the fourth quarter of this year. We expected to see a little more activity in the third, but as the plan -- the different state plans have rolled out, it looks more like fourth quarter. And so, again, I think it will be a good opportunity for us. More than 50% of all the uninsured eligible people in California and Texas are Latinos. So we see that as a way of us providing important education and information to our audiences, as well as to ensuring that they take advantage of this program.
James G. Dix - Wedbush Securities Inc., Research Division: Great. And just 1 follow-up. Now that you're refinancing, it's just about to be all funded, Chris, I mean, what's the M&A environment look like to you guys? Obviously, there's been a lot going on in the general market on the TV side. I don't know where that leads you in terms of the attractiveness of assets out there in terms of fitting into your strategy, but any color you could give on that, I think, would be helpful.
Walter F. Ulloa: Well, James, we have looked at some of these assets that became available starting 12 months ago. And on the television side, there hasn't been really anything that fits our strategy. There were a couple, I'll call them, English-language assets that were in high-density Latino markets that we serve, like markets that are 50% or more Latino. Along the border, certainly, as we see that kind of demographic strength, but it didn't work. We looked at them. But as you know, what we're seeing in today's M&A activity is our large television consolidators buying groups as a whole as opposed to one-offs like we used to see before. As far as radio is concerned, again, we haven't seen anything in radio that we feel is strategic or important to build our existing clusters. We're going to spend as much time looking at broadcast properties going forward as we do on digital products. We think that there's a great future for us in developing digital products and tailoring them to fit the needs of a Latino consumer and marketers that want to reach the Latino market.
Operator: Our next question comes from Michael Kupinski with Noble Financial.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: In the last quarter, was there any political on this quarter?
Walter F. Ulloa: In the second quarter, there was very little. I think it was just in radio, and it was less than -- it was around $60,000.
Christopher T. Young: And we had -- you're talking about the second quarter of 2013, was there any political, right?
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Right.
Christopher T. Young: Right -- all in, it was about $130,000.
Walter F. Ulloa: That was TV and radio...
Christopher T. Young: TV and radio combined, right.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Okay. And as a category, do you anticipate some politicals kind of pulling in the second half of this year?
Walter F. Ulloa: Well, we might see some political in the second half around the -- around comprehensive immigration reform. There seems to be some activity there. And there might be some other initiatives that could attract spending with the Latino community. But with the exception of the comprehensive immigration reform, that's pretty much it in terms of political.
Christopher T. Young: Not including the Affordable Care Act money that we talked about earlier.
Walter F. Ulloa: But we don't see that as political.
Christopher T. Young: Right.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Right, right. Exactly. And in terms of some key categories, some of the English-language TV and radio guys were talking about telecommunications coming back a little bit. Are you seeing any movement on that category, because I know that, that category has been kind of lagging for you for some time?
Walter F. Ulloa: We have seen improvement in...
Christopher T. Young: Telecom.
Walter F. Ulloa: Telecom, both TV and radio.
Christopher T. Young: Telecom for the quarter was up 6% for us. It was basically flat for radio. 6% was the TV number, but that's a category, as you remember up until a couple of quarters ago, was deep in the red. So it's nice to see that category finally starting to come back.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Exactly. And what does it represent now in terms of your total? I mean, is it one of your -- how is it ranking in terms of...
Christopher T. Young: Oh, it's only 4% of our TV revenue at this point and it's about 5% of our radio revenue. It used to be a top 3 category. Now it's #10 on the list. I'm being generous. So it's fallen a ways.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Yes. So it has a long way to come back. And what is -- in terms of -- what is your best use of cash at this point? I mean, what do you foresee using your cash for? I mean, your leverage looks like it's coming now below 4x that -- in that range. And your target -- I guess, what would you consider to be your target leverage range, and then what would be the best use of cash going forward, then?
Walter F. Ulloa: Well, I think first we'd look at investing in our business. And if there were any acquisitions that we could make that we felt were strategic, certainly, we'd look there. I talked about our digital initiative, looking for digital products, developing digital products that fit the needs of the Latino consumer and, of course, the advertisers and marketers, who want to reach the Latino consumer. And then, beyond that, it's just a menu of possibilities; paying down debt, stock buybacks, dividends. All of those are certainly on the table.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: And in terms of your Univision issue, it seems in the past, you guys have been [indiscernible] negations in terms of swapping assets and things like that. Any movement on that front? And are there any opportunities to pick up some of the Univision TV stations that might be hanging out there that they might want to let loose out?
Walter F. Ulloa: Well, we have a very strong relationship with Univision, and we work with them on a daily basis and we talk occasionally about what might be -- what we could do in terms of exchanges to improve their markets and improve our markets. But there's nothing specific to talk about in terms of anything that were currently today -- any active, ongoing discussion.
Operator: [Operator Instructions] Our next question comes from Tracy Young with Evercore.
Tracy B. Young - Evercore Partners Inc., Research Division: Two questions, if I could. The first question is related to the World Cup. How should we be thinking about that? Usually, the networks talk to the advertisers ahead of the World Cup by several months. So are you starting to talk to advertisers? Are you starting to place those dollars? And then, also, could you talk about the TV margins you had a significant improvement versus the year-ago period?
Walter F. Ulloa: Well, let me just address the World Cup question. I think what we're seeing right now is that there's a lot of activity around World Cup -- or more activities certainly than there was in 2010. As you know, in 2010, we were right on the heels of a very deep recession, and the automotive industry was basically shut down in this country. But what we know so far into the process is, as we look ahead to 2014, is that there's a lot of activity around the Univision Network's inventory. We're also talking to advertisers that want to be active in the World Cup on a local basis. So we expect our World Cup revenue to be significant in 2014. It was about $7.4 million, including television and radio, in 2010. And we believe we're going to certainly generate enough revenue that will put us beyond that -- beyond the 2010 numbers.
Christopher T. Young: With respect to the margins, Tracy, when we finished the quarter at 51% for TV, including the retrans money, that's an improvement from 46% in Q1. TV is a -- both TV and radio, it's a fixed-cost business. Primarily, 80% of our costs are fixed. So as revenue continues to improve, as the economy continues to improve and we execute, you're going to continue to see an improvement in those margins. We finished out the year last year at 51% with some of help coming from political. But now, we're seeing the core business also continue to improve, and it's nice to have that margin back in the 50% range. And knock on wood, hopefully, we can keep it there.
Walter F. Ulloa: Tracy, I will add that I believe that in terms of how we are positioned -- positioning ourselves for World Cup by 2014 that we're in a better place than we've ever been in terms of our sales packages, in terms of our outreach to clients, in terms of our -- the knowledge of our sales teams, the preparation. So again, that just gives us more confidence that we're going to have a great World Cup.
Operator: Our next question comes from Barry Lucas with Gabelli & Company.
Barry L. Lucas - Gabelli & Company, Inc.: Just 2 quick ones. One, Walter, it looks like it was a terrific quarter and firing on nearly all eight cylinders. So what wasn't working in the quarter?
Walter F. Ulloa: I accidentally punched my off button there for a second, Barry. I think you -- your question was we know what was working, but what wasn't working?
Barry L. Lucas - Gabelli & Company, Inc.: Exactly.
Walter F. Ulloa: Okay. That's a -- that's certainly a good question. Well, I'd like to think that, generally, everything was coming together. There were certain categories that certainly were softer than in the past. But that comes and goes, and ebbs and flows throughout the year. I think what we're seeing, Barry, is that the economy continues to improve. I think we're doing a better job here internally of -- with our outreach to advertisers and certainly with not only advertising agencies, but reaching out directly to advertisers, chief marketing officers and other chief officers at these various companies. Fast Food, I know, went down across our platforms. And so, that was 1 category. In Healthcare, there was, I guess, a bit of a surprise. Healthcare slowed down for us in the second quarter, but maybe that -- maybe part of what was -- part of their planning, I should say, for the second half of the year. I stated earlier that we expected to see -- we expect to see pretty strong healthcare advertising in the second half. We thought we'd see maybe more in the third -- or about the same in the third and the fourth. But now, we're starting to believe that it's going to hit us really heavy in the fourth.
Barry L. Lucas - Gabelli & Company, Inc.: Great. Okay. I just -- I was hoping you could extend the political discussion a bit more. Walter, you'd touched on immigration reform as being a kind of a hot button and anticipating some possibility of inflow of revenues there. Maybe just refresh my memory, what was total political in 2012? And then, when you look at health care reform, Affordable Care, the -- certainly, the rhetoric from republicans about needing to reach out to the Hispanic community, if you had a look in the crystal ball today, what would you be thinking about political in 2014?
Walter F. Ulloa: Well, let me just address 1 of your questions first. Our total political in 2012 was $16.6 million, which -- we basically doubled our political in the last presidential cycle, which was -- before 2012, which was 2008. So that certainly gives us a lot of confidence going into 2014. You stated earlier, and we certainly believe the fact or the point that republicans see the need to build a campaign that explains to Latino voters more about what they stand for and what the party stands for. So we think that the Republicans' party will be certainly more active in the upcoming political year. It is a mid-term year. Just to give you an idea, in 2010, we saw about $7.1 million of political advertising with all of our different media properties, about $5.1 million of TV and about $1.9 million of radio. We certainly believe that we're going to surpass that number in 2014. But we really haven't put a pencil to what that might look like. When we started the year in 2010, our goal was to generate revenue above $10 million, and we certainly blew past that number. I don't know if the growth will be as strong in 2014 when you compare 2012, 2008 but we do expect to see a much stronger political here than we saw in 2010, plus that we've got World Cup, which we talked about earlier. We see a big World Cup for us. The Affordable Care Act is going to be very active in 2014. Especially, in the first quarter, you'll see a lot of activity there. And pretty much, to size it up, and we've continued to -- we expect to continue to see our core advertising categories grow at the rate that we're seeing at least through this year.
Christopher T. Young: As the economy continues to recover, hopefully.
Walter F. Ulloa: Right.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to management for any closing remarks.
Walter F. Ulloa: Thank you, Youssef, and thank you, everyone, for joining us on our call, when we gave our second quarter results. We look forward to speaking to all of you in November when we will announce our third quarter results to our investors. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.